Operator: Welcome to HF Sinclair Corporation and Holly Energy Partners Third Quarter 2022 Conference Call and Webcast. Hosting the call today is Mike Jennings, Chief Executive Officer of HF Sinclair and Holly Energy Partners. He is joined by Tim Go, President and Chief Operating Officer of HF Sinclair. Atanas Atanasov, Chief Financial Officer of HF Sinclair; and John Harrison, Chief Financial Officer of Holly Energy Partners. At this time, all participants have been placed in a listen-only mode and the floor will be opened for your questions following the presentation. [Operator Instructions] Please note that this conference is being recorded. It is now my pleasure to turn the floor over to Craig Biery, Vice President, Investor Relations. Craig, you may begin.
Q - Craig Biery: Thank you, Rob. Good morning, everyone. And welcome to HF Sinclair Corporation and Holly Energy Partners third quarter 2022 earnings call. This morning, we issued press releases announcing results for the quarter ending September 30, 2022. If you would like a copy of the press releases, you may find them on our website at hfsinclar.com and hollyenergy.com. Before we proceed with remarks, please note the Safe Harbor disclosure statement in today’s press releases. In summary, statements made regarding management expectations, judgments or predictions are forward-looking statements. These statements are intended to be covered under the Safe Harbor provisions of Federal Security Laws. There are many factors that could cause results to differ from expectations, including those noted in our SEC filings. The call also may include discussion of non-GAAP measures. Please see the earnings press releases for reconciliations to GAAP financial measures. Also, please note any time-sensitive information provided on today’s call may no longer be accurate at the time of any webcast replay or rereading of the transcript. And with that, I will turn the call over to Mike Jennings.
Mike Jennings: Hey. Thanks, Craig. Good morning, everyone. Today, we reported third quarter net income attributable to HF Sinclair shareholders of $954 million or $4.45 per diluted share. These results reflect special items that collectively decreased net income by $29 million and excluding these items, adjusted net income for the third quarter was $983 million or $4.58 per diluted share, compared to adjusted net income of $210 million or $1.28 per diluted share for the same period in 2021. Adjusted EBITDA for the current quarter was $1.5 billion, an increase of more than $1 billion compared to the third quarter of 2021. Our third quarter results reflect strong contributions from our Refining segment, driven by safe and reliable operations that resulted in record throughputs and a 65% increase in gasoline and distillate sales volumes year-over-year. Solid demand in the regions we serve, coupled with low inventories and improved crude differentials resulted in Refining EBITDA of over $1.4 billion in the third, compared to $295 million in the same period last year. In our Renewables segment, we continue to methodically ramp-up operations across our facilities with higher utilization rates quarter-over-quarter. Total sales were 52 billion gallons in the third quarter and we are encouraged by strong demand for Renewable Diesel and solid margins driven by D4 RIN price strength. We also expect to realize additional contribution from our pretreatment unit in Q4. Lubricants and Specialty Products reported EBITDA of $15 million for the third quarter, compared to adjusted EBITDA of $82 million for the third quarter of 2021. This decrease was largely driven by FIFO impact from the consumption of higher priced feedstock inventory resulting in lower margins. Our Lubricants business is still performing well above our mid-cycle guidance on an annual basis as a result of strong demand for base oils and finished products. Marketing segment reported EBITDA was $10 million for the third quarter and total branded fuel sales volumes were 362 million gallons, representing a $0.03 per gallon margin. We continue to make progress expanding the DINO brand as our number of branded sites grew by 29% during the third quarter. HEP reported adjusted EBITDA of $110 million in the third quarter, compared to $83 million in the same period last year. This increase was primarily driven by contributions from the Sinclair Transportation assets, which were acquired in March of 2022. We returned $952 million in cash to our shareholders through repurchases and dividends during the quarter and another $152 million in the month of October. Since the closing of the Sinclair acquisition on March 14, 2022, we have returned over $1.1 billion, which is well ahead of our initial target of returning $1 billion to our shareholders by the end of the first quarter of 2023. With the announcement of our new $1 billion share repurchase authorization in September, we remain fully committed to our cash return strategy and payout ratio, while maintaining a strong balance sheet and investment grade credit rating. To-date, we have achieved our target of annualized run rate synergies of over $100 million relating to the Sinclair acquisition, an additional $100 million of working capital synergies. We achieved these annual run rate synergies through a combination of commercial improvements, operating expense reductions and SG&A optimization. We also announced today that our Board of Directors declared a regular quarterly dividend of $0.40 per share, payable on December 5, 2022 to holders of record November 21, 2022. Looking ahead, we are constructive on refined product margins supported by low product inventories and wider crude differentials. We remain focused on maintaining safe and reliable operations across our fleet, and our diverse portfolio of assets provides us the opportunity to generate strong free cash flow through the cycle. And with that, let me turn the call over to Atanas.
Atanas Atanasov: Thank you, Mike, and good morning, everyone. Let’s begin by reviewing HF Sinclair’s financial highlights. As previously mentioned, our strong third quarter results included a few unusual items. Pre-tax earnings included a $17 million charge for lower cost to market inventory valuation adjustment, HF Sinclair’s pro forma -- pro rata share of HEP’s share Osage pipeline environmental remediation costs of $10 million and acquisition integration cost of $11 million. A table of these items can be found in our press release. Net cash provided by operations totaled $873 million, which included $28 million of turnaround spending in the quarter. HF Sinclair standalone capital expenditures totaled $92 million for the third quarter. As of September 30, 2022, HF Sinclair’s total liquidity stood at approximately $3.1 billion, comprised of a standalone cash balance of $1.45 billion, along with our undrawn $1.65 billion unsecured credit facility. As of September 30, we have $1.74 billion of standalone debt outstanding with a debt-to-cap ratio of 16% and net debt-to-cap ratio of 3%. HEP distributions received by HF Sinclair during the third quarter totaled $21 million. HF Sinclair owns 59.6 million HEP Limited Partner units, which following the acquisition of Sinclair Transportation represents 47% of HEP’s outstanding LP units at a market value of approximately $1.1 billion as of last Friday’s close. Let’s go through some guidance items. We have slightly reduced our expected capital spending guidance for 2022 to the range of $740 million to $885 million from the previously shared range of $785 million to $950 million. We now expect to spend between $225 million to $245 million in Refining, between $230 million to $260 million in Renewables, $35 million to $50 million at Lubricants and Specialty Products, $10 million to $15 million in Marketing, $75 million to $90 million on corporate and $110 million to $150 million for turnaround and catalyst. At HEP, we expect to spend $55 million to $75 million in total capital. For the fourth quarter of 2022, we expect to run between 620,000 to 650,000 barrels per day of crude oil in our Refining segment. We have no major turnarounds at our fuel refineries scheduled for the remainder of 2022. And with this, I will turn the call over to John for an update on HEP.
John Harrison: Thanks, Atanas. HEP’s third quarter 2022 net income attributable to Holly Energy Partners was $42 million, compared to $49.2 million in the third quarter of 2021. The year-over-year decrease was primarily attributable to our share of incurred and estimated remediation expenses associated with the Osage pipeline crude oil release. Higher interest expense and operating costs partially offset by strong earnings related to the recently acquired Sinclair transportation assets. HEP’s third quarter 2022 adjusted EBITDA was $110.1 million, compared to $83.3 million in the same period last year. A reconciliation table reflecting these adjustments can be found in HEP’s press release. HEP generated distributable cash flow of $78.7 million and we announced a third quarter distribution of $0.35 per LP unit, resulting in a distribution coverage ratio of 1.8 times. The distribution will be paid on November 11th to unitholders of record as of October 31st. Capital expenditures and joint venture investments during the quarter were approximately $13 million, including $5 million in maintenance CapEx. As we look to the remainder of the year and into 2023, we anticipate strong performance across our asset base, driven by strong refinery utilization rates. Safe and reliable operations continues to be our highest priority. We remain committed to our capital allocation strategy and expect to reach our short-term leverage target of 3.5 times in the first half of 2023. We are now ready to turn the call over to the Operator for any questions.
Operator: [Operator Instructions] Thank you. Your first question comes from the line of Paul Cheng from Scotiabank. Your line is open.
Paul Cheng: Hey, guys. Good morning.
Mike Jennings: Good morning, Paul.
Paul Cheng: Two questions, please. First, in terms of the cash distribution, how should we look at, I mean, you have been buying back stock at a much faster pace than your $1 billion target in the past and so should we assume that when your cash is in excess of $500 billion or the incremental cash flow on top of the CapEx is going to go for the distribution, or I mean, how should we look at it? And also whether that is any hint from the Sinclair family, what is their ultimate intention of their holding. The second question is on the RVO, any surprises so far in your learning curve and also could you discuss or maybe quantified to help us understand in the fourth quarter versus the sequential third quarter. How that margin and also your cost structure may change. Thank you. The margin capture I mean.
Mike Jennings: Paul, we are sitting here writing furiously trying to capture those questions down. Let me ask Atanas to start out with the distribution of cash strategy as we generated here.
Atanas Atanasov: Thank you, Mike, and thanks for your question, Paul. First of all, we remain very much committed to returning capital to our shareholders. And as we have demonstrated in the past in periods of strong cash flow generations, our priority is to return capital. And just to quantify this a little more specifically, we have called out the 50% payout ratio for the long-term. Now with respect to how much is dividend versus how much is share buyback, that’s just a matter of debate and what flavor it comes, but our commitment is to remain focused on this robust shareholder return.
Mike Jennings: Thanks, Atanas. And looking forward into 2023, we hope to continue the same pace of play. We have got a little higher maintenance in terms of planned turnarounds in 2023, Paul, than we had in 2022. But again, the priority is incremental cash flow goes to shareholders and share repurchases the most expeditious way for us to do that. As to the holding family, we have said this and it worth repeating, we have got a very close relationship with that family. We have two2 of their representatives on our Board and then we have transacted with them in size in terms of our own share repurchase program, which provides us a greater amount of liquidity to our shares in terms of executing repurchase. So it’s mutually beneficial. We expect it to continue in size. Finally, on Renewable Diesel, the plants ran at just 50% utilization or so during 3Q due to basically unplanned downtime relating to start-up operations, obviously, created issues from a profitability perspective. The first is fairly obvious. We are generating fewer gross margin dollars relative to our fixed OpEx. But second, we ended up running a higher mix of high cost feedstocks as this RBD was purchased for start-up runs and we really didn’t get the benefit of the PTU in the same quantity that we would expect. So what we have got looking forward in the fourth quarter, some planned downtime at Parco Renewable Diesel for catalyst change out. But apart from that, we expect higher throughput and utilization significantly than we experienced in the third quarter and that should lead to substantially different operating profit results.
Paul Cheng: Thank you.
Operator: Your next question comes from the line of Theresa Chen from Barclays. Your line is open.
Theresa Chen: Good morning. Thank you for taking my questions. Mike, I wanted to ask you about what you are seeing in the landscape for refining economics going forward following the strength this quarter. Clearly, impact spreads still remain elevated and you are seeing significant tailwinds from WCS. Just curious to hear about how you think this evolves through the rest of fourth quarter and into 2023 and on the product margin side, if you can give a flavor of the breakdown between diesel and gasoline, that would be helpful as well?
Mike Jennings: Yeah. I am going to ask Tim to take this question. Thanks, Theresa.
Tim Go: Yeah. Hi, Theresa. This is Tim. We definitely see a better for longer scenario here where we think Refining margins will continue to deliver above mid-cycle returns here for the foreseeable future. We are in a structurally short market. We continue to see that with refinery rationalizations that have occurred over the last couple of years, the Russia-Ukraine conflict that is causing trade flow disruptions. As you look forward, it’s hard to see that changing significantly in the near-term. We know that there’s going to be some additional start-up of some Refining capacity next year. I think the Beaumont Refinery, the Superior Refinery are going to be starting up, but we also know that the Lyondell Refinery has announced that it’s going to close the Rodeo Refineries announced that they are going to close. So we think that there is the structural short is going to continue for quite some time, really until you get into 2024 when you start seeing the Mexico or the Nigeria refinery startup, we don’t really see a big change in the overall supply/demand. The whole energy transition theme is -- I know it’s gotten a lot of attention over the last several years is really proving out to be more of a longer term evolution, right? With the high inflation that we are seeing right now, only going to slow down continued investments in kind of the green technology. And so we see that the demand for our products are going to continue to be strong and our refineries are producing as much as they can right now and still having trouble keeping inventories full. So, I mean, the long story short, Theresa, we think the Refining market is going to be strong here for the foreseeable future.
Mike Jennings: I think to add to that, Theresa…
Theresa Chen: Thank you.
Mike Jennings: … the high run rates that we and others have attempted to produce in order to meet U.S. fuel demand is going to create additional maintenance outages, right? And that these plants have been running full and hard for quite a long time, trying to prevent supply shortfalls, and we think that, that during 2023 will show up in both planned and unplanned maintenance.
Operator: Your next question comes from the line of Ryan Todd from Piper Sandler. Your line is open.
Ryan Todd: Yeah. Thanks. Maybe if I could ask on the Refining side, results were strong in the quarter, but particularly in the Mid-Con, the sequential decline in capture rate was a little surprising. I know there’s a lot of moving pieces there. But especially given where crude differentials were in the quarter, can you -- and how strong operational performance was. Can you talk about some of the things, positive and negative that may have impacted your ability to kind of capture the environment in the quarter there, in particular in the Mid-Con and how some of those may be trending in the fourth quarter?
Tim Go: Yeah. Ryan, this is Tim again. We are pleased with the capture rates that we have had, both in the Mid-Con, and of course, in the West. I will just point out we did have an Osage event that impacted our Mid-Con refineries in the third quarter. That’s probably the biggest factor or the capture rate in the third quarter. Of course, RVO obligations were up as well during the third quarter, which will impact our capture rate. On the other hand, we are pleased with the Sinclair synergies that we continue to capture. We have some Rockies art [ph] that we are able to capture as part of our Mid-Con El Dorado Refinery, and of course, higher WCS crude differentials are allowing us to capture more in the Mid-Con. So we are pretty optimistic about fourth quarter capture rates as well.
Ryan Todd: Great. Thanks. And then maybe a follow-up on an earlier question, I appreciate the color that you gave around the Renewable Diesel business, maybe just a point of clarity. Do you still have -- have you worked your way through the expensive RBD feedstock, is that -- will that remain an overhang at all during the fourth quarter and as you look into the environment over the next few quarters going forward, how do you think about the backdrop that you see in renewable diesel?
Mike Jennings: Yeah. Ryan, we are really working through what I would call historical and start-up issues. The underlying environment for this business right now is constructive and is consistent with the margins that we forecast in the past. We have a little bit of that work through in the fourth quarter. But as I said previously, we expect that the operating result will be substantially better than we experienced in the third quarter, largely due to throughput and due to the fact that we have got very little of this remaining higher cost feedstock to process.
Ryan Todd: Great. Thank you.
Operator: Your next question comes from the line of Doug Leggate from Bank of America. Your line is open.
Kalei Akamine: Hey. Good morning, guys. This is Kalei on for Doug. So thanks for taking the question. So my first question is on the macro setup for 2023. Today, winter diesel is driving the margin complex and you are obviously biased to maximize those yields. But can you offer a view on how this transitions into summer, because theoretically, you wouldn’t need a price signal to swing back the other way back to gasoline. So if diesel remains robust, do we see gasoline catch up?
Tim Go: Yeah. Kalei, this is Tim. Yeah. Certainly, we are -- all our refineries are in max dieselization mode today. I will tell you they have been in max dieselization mode for pretty much most of this year, even during the summer we saw stronger diesel cracks that incentivize us to continue to maximize diesel. So we anticipate that even as we transition from the winter back into the spring and the summer, this next year, that will continue to be in max diesel mode, that the gasoline incentives will then have to increase to incentivize people to start switching back to gasoline mode and we may see again some strength this next summer in both gasoline and diesel at the same time.
Kalei Akamine: Got it. I appreciate that. My second question is on Waha Gas, so recently the benchmarks there touched to zero, because the takeaway situation is very tight and it doesn’t get fixed until the second half 2023. So I am wondering what that means for the operating cost for Navajo and also with hydrotreating cost?
Tim Go: Yeah. We have watched that differential in the Southwest for natural gas come down, it’s surprising. We were pleased with it. It definitely helps us on operating costs as we have seen natural gas prices go high pretty much across the country earlier in the year. So we are happy to see that. Overall, I think, we have made these comments before, but for every dollar plus or minus in natural gas, we normally see about a $44 million change in our overall EBITDA on an annual basis across all of our fleets. So we watch energy prices pretty carefully.
Kalei Akamine: I appreciate that. Thank you.
Operator: Your next question comes from the line of Connor Lynagh from Morgan Stanley. Your line is open.
Connor Lynagh: Yeah. Thanks. Just wanted to think about 2023 a little bit here, you were talking about higher turnarounds, but then I am also thinking through, obviously, a reduced cost on Renewables. So, can you help us walk through the big puts and takes on CapEx and just how we should think about those big cost items for next year?
Mike Jennings: Yeah. I think at a high level, we are going to be providing specific guidance for CapEx as we roll into the coming year. But higher maintenance expense, planned maintenance around turnarounds, obviously lower on Renewables. Those probably largely offset, and again, we will update the guidance come February timeframe.
Connor Lynagh: Okay. So net-net, you are kind of about the same place 2023 versus 2022 is the takeaway there?
Mike Jennings: Maybe a little higher, but roughly.
Connor Lynagh: Okay. Got it. Maybe one just higher level structural one, where do you see pricing in your core markets, you guys obviously have a lot of sort of niche market exposure. Where do you see pricing being set off of, if that makes sense? So in your mid-cycle forecast previously, you basically pointed to a Gulf Coast crack plus transportation costs. Do you feel like that’s the right way to think about it, do you think you are being more priced off of coastal markets, how do you think about that on a go-forward basis?
Tim Go: Yeah. I will take a shot at that, Connor. So we believe that the East Coast -- the marginal East Coast refining economics are set off of historically the European imports that would come in. Clearly, that has changed given the Russia-Ukraine conflict, the natural gas price increases that they are seeing over there, part of the trade shift flows that have occurred through the conflict. And really some of the marginal barrels that are coming into the East Coast now are really coming from Asia, which actually creates more of a structure, more of a higher cost price setting mechanism for us. We believe the Gulf Coast is basically set off the East Coast and then our Mid-Con refineries are set off the Gulf Coast. So we think we see a structural advantage that we have versus the Gulf Coast today that we think we have versus the East Coast today and then we think we have versus the marginal price setting mechanism, which today is really the Asia import barrels coming in. So as we look at the structure, those are all the things we are looking at, both from a op cost standpoint, we know we have a natural gas advantage from a crude differential standpoint and we know with the strength of WCS and the WTI and there that you are seeing right now that we believe we have a structural advantage there. And then when you look at the product placement advantage, where we see a strong niche market for our products both for diesel and for gasoline. We think we have advantages again over a marginal producer.
Connor Lynagh: That’s helpful. I will turn it back. Thank you.
Operator: Your next question comes from the line of Matthew Blair from TPH. Your line is open.
Matthew Blair: Hey. Good morning. I think you are in 13% heavy barrels in the quarter. Could you talk about what’s driving WCS wider currently and what your outlook is going forward?
Tim Go: Yeah. Matthew, this is Tim. We are definitely seeing and pleased with the wider WCS spreads. We are seeing that as a result of some of the return to normal production in Canada. I think we always thought that the WCS/WTI spread would widen here in the fourth quarter associated with that. But I think what surprised us is some of the unplanned events that have occurred in the Mid-Con that has impacted demand for WCS, as well as some of the quality choices that are occurring for crudes. Naphtha, of course, is very weak right now, as well as some of the fuel oil barrels that are weak right now that are competing for the WCS demand, which is lowering that overall demand and causing the spread to widen. We see that going forward into 2023. We still see the production, as well as some of the quality differentials driving the higher than what we call maybe transportation differential kind of dynamics and we think that we will be able to benefit from that. In the third quarter, we ran a little bit less heavy that was mostly associated with the Osage event that occurred. We have all the economic incentives to increase our WCS production and as you may have heard as a rule of thumb for every $1 a barrel WCS change, we typically see about a $40 million annual EBITDA impact in our business.
Matthew Blair: Sounds good. And then your Q3 capture rate basically held flat at 69%, so nice work there. Do you think the outlook for the Q4 capture rate actually might be a little bit higher quarter-over-quarter just given tailwinds from wider WCS is, as well as things like butane blending and octane spreads?
Tim Go: Yeah. We are encouraged by all of that, Matthew. I would say, typically, as we get into the winter months, our capture rates tend to go down, but that’s generally because of utilization that goes down because some of the RVO percentage of gross margin is higher. But as you point out, we are certainly going into the -- here we are in November. We are certainly looking stronger this fourth quarter. Utilization is high and with the wider crude diffs, as you pointed out, with the strength in the diesel cracks as you pointed out, we do think capture rates should stay higher here in the fourth quarter.
Matthew Blair: Great. Thank you.
Operator: And your next question comes from the line of Jason Gabelman from Cowen. Your line is open.
Jason Gabelman: Hey. Thanks for taking my questions. I first wanted to ask on the Renewable Diesel business. You mentioned some, I think, unplanned downtime, I may have missed it if it was planned, but due to a catalyst change out in that Renewable Diesel business. And I know the industry has had some issues during start-ups that have come through in terms of going through the catalyst quite quickly. Was the catalyst change out a result of that or any other types of operational issues, and if so, do you have your hands wrapped around that or is everything okay in that segment? And then my other question was just on the lubricants business, a big quarter-over-quarter decline. I know some of that was due to accounting for higher feedstocks. Could you just kind of discuss the puts and takes, maybe the order of magnitude of that inventory impact and where margins are trending in that business? Thanks.
Mike Jennings: Yeah. Jason, I will start with the Renewables question. And that we referenced a catalyst change at the Parco plant in the month of October and that was very much a planned and scheduled catalyst outage. We do think we have our hands around the operation of these units and they are a little different than normal distillate hydrotreating units. But our experience to date has been pretty good relative to catalyst life and catalyst activity. So we, as I referenced, did have some start-up related issues in 3Q, but not a lot of catalyst problem. As to the lubes, Tim, you can speak to that?
Tim Go: Sure, Jason. Yeah. The whole lubes impact associated in the third quarter was due to FIFO, higher priced feedstocks that we ran. It was unfavorable $47 million in the third quarter, so really nothing to see here. Even without the FIFO impact, we still would have delivered record first quarter and second quarter earnings and so we are very pleased with the business there. We know FIFO will even out over time as it unwinds and so we are still on pace for above mid-cycle performance here in 2022. We are still expecting lubes EBITDA of something in the $300 million range for 2022 even when you take into consideration all the FIFO.
Jason Gabelman: Great. Thanks.
Operator: Your next question comes from the line of Neil Mehta from Goldman Sachs. Your line is open.
Neil Mehta: Yeah. Good morning, team. Hey. The first question just on the mid-cycle adjusted EBITDA. You have come out with this $2.6 billion number and $1.5 billion of free cash flow in the business is, obviously, trending very well relative to that. So, just curious as you think about the different move -- different parts of that adjusted EBITDA equation, what -- where do you see biases to the upside or downside?
Mike Jennings: Yeah. Neil, good morning. Look, the environment that we are currently operating in is, obviously, a little foreign to us and the earnings and cash generation is extraordinary. Whether to immediately impute a change in mid-cycle economics, really hard to say, we believe there’s a supply shortfall in domestic Refining capacity. So what does that suggest? I mean that suggests more opportunity in the refining EBITDA number. We were just on the heels of having completed our first $100 million of Sinclair related synergies, that being seven months after closing the deal. There’s probably a little more to go on that front as well yet unquantified. But I would say that those are the two real levers in terms of taking mid-cycle EBITDA higher and we have chosen not to do that yet just to try to absorb what the current industry structure is. It obviously doesn’t affect what’s important, and that’s our cash distribution back to shareholders. But whether we adjust this higher here in terms of our slide deck and our expectations, we are going to watch it a bit with a focus on principally Refining.
Neil Mehta: Yeah. That makes a lot of sense. And then the follow-up is just around the M&A strategy. Both Puget and Sinclair were well timed in retrospect and you have been able to capture a lot of that upside. Do you see additional assets potentially coming into the market and is Holly proven to be a logical consolidator of bolt-on assets?
Mike Jennings: Yeah. So, first, thanks for the compliment on timing. I wouldn’t say we necessarily planned it that way, but it has worked out very well for us and our shareholders. As to taking on the burden and the blessing of being the consolidator, we don’t hold ourselves to that standard. We are opportunistic. We have defined geography and quality of assets that we are looking for. At present, our plate is really full in respect of the Sinclair acquisition and our goal is to really make an excellent combined unit out of that company and the historical Holly. We have got some months ahead of us in terms of realizing all the opportunity that we bought into, and frankly, years ahead of us in integrating more downstream into that branded wholesale network that we aspire to have. So there’s plenty to do to realize what we have purchased already. As to the future, yes, we believe that because of energy transition, there will be net sellers of assets, focusing principally on the larger oil companies that are redeploying towards a more renewable portfolio. But at present, we don’t take on the strategy of necessarily being a consolidator. We will be more opportunistic.
Neil Mehta: Thanks, Mike.
Mike Jennings: Yeah.
Operator: And our next follow-up question comes from the line of Paul Cheng from Scotiabank. Your line is open.
Paul Cheng: Hey, guys. Thank you. Just a quick follow up. In terms of the Sinclair synergy, you mentioned that you achieved $100 million on rate already. So from this point on, where do you see if there’s any incremental opportunity for that synergy benefit, where that’s -- if there’s opportunity that where is the biggest piece it’s going to come from? That’s the first question. And second question, I want to go back into the Lubricant. Tim, you mentioned that $47 million of impact. So that’s about $16 per barrel based on your throughput on the third quarter. So even if I added back that your gross margin, say, call in the 27%, it’s still very low. And also that, I mean, when we talk to other people like Exxon, they actually indicate base oil margin actually has been up and when we look at the market indicator is also up. So we are trying to reconcile that, why that your -- is that something that you need to utilize from an accounting standpoint outside the FIFO we should be aware?
Tim Go: Yeah. Paul, this is Tim. Let me try to hit both of those questions. On the Sinclair synergy side, we still, as Mike mentioned, I believe there’s a lot more opportunity for us to continue to integrate and capture just all the benefits of the synergies. Certainly, with Sinclair, but also as you add Puget Sound into the mix, there’s a lot of opportunity that we think organically that we can focus on. Couple of examples, supply chain and logistics, given our presence in the Rockies area, there continues to be just a lot of opportunities for us to optimize our trucking and our pipeline deliveries, how we are putting product into the various markets between the Woods Cross Refinery, the Casper Refinery and the Rollins Refinery, we think there’s a lot of transportation savings, pipeline tariff savings, truck savings just by managing and optimizing our supply chain and logistics. From a procurement standpoint, we have captured some procurement savings already, but we think as we continue to leverage our scale and leverage the seven refineries we now have in our portfolio that there’s going to be more procurement opportunities there. From a reliability standpoint, we believe as we continue to knowledge share across our refineries, we are going to continue to lift the bar across our whole portfolio in terms of reliability, performance and utilization. And then, finally, in some of the intermediate products that we make at these refineries, we think there’s some optimization opportunities to again integrate amongst especially the Rocky Mountain refineries as of fuel, oil, asphalt and things like that, that are going to generate more opportunities for us in the future.
Mike Jennings: As far as…
Paul Cheng: Do you have an estimate, sorry. Do you have an estimate of your target for the incremental synergy benefit over the next 12 months that you may be able to capture?
Tim Go: Paul, there’s -- we do have initiatives and estimates internally that we are going after, but we have nothing to share with you at this time.
Mike Jennings: Yeah. We are going to quantify that on next quarter’s call. We felt like we had just gotten through the first chunk and we are building up the next list as to where the next opportunities are and how big they are.
Tim Go: On your Lubes question, Paul, what I would just say is, I mean, if you take the $40 million, $70 million that we talked about associated with FIFO, you apply that to the $15 million of reported EBITDA. You get a number that’s consistent with our mid-cycle estimate that we talked about in terms of run rate. We have always said that our first half of the year is a stronger year. Second half of the year is seasonally weaker. And so being able to run at mid-cycle kind of run rates here for the third quarter and we think the fourth quarter will be similar, we will continue to have FIFO headwinds. But we think we are going to be able to run at kind of a mid-cycle run rate. We think that’s pretty good for our business.
Atanas Atanasov: If I could just -- Paul, this is Atanas. If I can only also add is it’s important to not just look at the -- at this quarter and the back quarters, even with the FIFO headwind for this quarter, if you look on a year-to-date basis, overall, the overall impact is not negative. It’s positive. And so as Tim indicated earlier, over time, FIFO kind of evens out, so this is more of a timing thing. But on a year-to-date basis in full year, we are at or above mid-cycle.
Paul Cheng: Okay. Okay. Will do. Thank you.
Operator: And there are no further questions at this time. I will now turn the call back over to Craig Biery for some final closing remarks.
Mike Jennings: Thanks, Rob. This is Mike Jennings. In closing I’d just tell you, we have really made great progress bringing the Sinclair businesses into our company and the strategic and the financial value of that combination is really becoming apparent to our shareholders. Synergy capture is per plan and we anticipate adding more to that estimate as we go forward here and I have said that we will articulate that on our next call. Across our base businesses in five segments, we are really operating well. And Renewables is obviously the area of focus as we are bringing these plants up to full rate through start-up. We expect higher margins in today’s Refining market will persist due to challenging macro supply factors that are really going to be difficult for the industry to resolve in the short run, despite our best efforts. And finally, our own company’s performance returning capital to our owners has been well ahead of expected pace and reflects a strong cultural bias to return cash to shareholders as we generate it. We have a larger maintenance program ahead of us in 2023, but we continue to see great opportunities for capital return while maintaining our solid balance sheet and investment grade credit rating. So, with that, we look forward to speaking with you all again on the next call.
Operator: Thank you. This does conclude today’s teleconference. Please disconnect your lines at this time and have a wonderful day.